Operator: Welcome to the Aflac’s Fourth Quarter Earnings Conference Call. Your lines have been placed on listen-only until the question-and-answer session. Please be advised today’s conference is being recorded. I would now like to turn the call over to Ms. Robin Wilkey, Senior Vice President of Aflac Investor and Rating Agency Relations. You may begin.
Robin Y. Wilkey: Thank you and good morning. Welcome to our fourth quarter call. Joining me this morning is Dan Amos, Chairman and CEO; Kriss Cloninger, President and CFO; Ken Janke, President of Aflac U.S., Executive Vice President, and Deputy CFO of Aflac Incorporated; Eric Kirsch, Executive Vice President and Global Chief Investment Officer, and also joining us from Tokyo are Paul Amos, President of Aflac and Hiroshi Yamauchi, President and COO of Aflac, Japan. Before we start, let me remind you that some of the statements in this teleconference are forward-looking within the meaning of Federal Securities laws. Although, we believe these statements are reasonable, we give no assurance that they will prove to be accurate, because they are prospective in nature. Actual results could differ materially from those we discussed today. We encourage you to look at our fourth quarter release for some of the various risk factors that can materially impact our results. Now, I’ll turn the program over to Dan, who will begin this morning with some comments about the quarter and year as well as our operations in Japan. I will follow up and then we will take your questions afterwards. Dan?
Daniel P. Amos: Thanks Robin. Good morning and thank you for joining us. Let me start off by saying that the final quarter of 2014 concluded another good year for Aflac. I am excited about the incredibly strong fourth quarter sales results in both the United States and Japan and on top of that we have finished the year at the high end of our expectations for operating earnings per share growth. Let me begin with some highlights related to the Japanese operations. Aflac Japan's impressive 28.5% increase in third sector sales in the final quarter of 2014 is particularly remarkable to me considering the significant growth follows two years of excellent sales results in the fourth quarter. Sales of cancer insurance surged following the launch of the new cancer WAYS [ph] product which also included an exclusive product sold by Japan Post. Cancer insurance sales through all distribution outlets were up an outstanding 176% for the quarter. This dramatic increase in cancer insurance sales was critical to Aflac Japan reaching the high end of the 2% to 7% annual target. On the distribution side, our traditional agencies have been and remain key to our success. Additionally I consider our strategic alliance with Japan Post to be enormously advantageous. This alliance merges the broad consumer access of Japan Post with Japan Aflac's status of an industry leader of cancer insurance. Tremendous progress has been made in increasing the number of postal outlets that offer our cancer insurance to our customers. I would remind you that Japan Post has the largest distribution network in Japan. I believe Aflac Japan and Japan Post will continue to be mutually beneficial as we make cancer insurance available to more and more Japanese consumers. Our goal is to have a presence in all the outlets where consumers want to make their insurance purchase decisions. In Japan, I think about sales for a 12 month period from October 1st, 2014 through September 30th, 2015. For the nine months of 2015, we project a 15% increase in third sector sales. When you add the 28% increase from the fourth quarter we could be close to a 20% increase over the rolling 12 month period. Please note that this 12 months rolling period will be the biggest third sector increase in more than 10 years. We are reviewing fourth quarter sales and the difficult comparisons it will experience in 2015. At this point we believe sales for the fourth quarter could be down sharply but as always we will be working to find ways to minimize that decline. At the end of the second quarter we will have more insight and will give you additional guidance on the fourth quarter. Aflac Japan has also performed extremely well in the fourth quarter with $454 million in new sales or 14.1% increase exceeding our expectations. The strong fourth quarter sales drove our total new sales to 1.4 billion which is approximately 1% increase. Which also significantly exceeded our most recent sales expectations for the year. I believe the changes we made to our sales organization in the third quarter are showing promising results but I am not willing to say yet that the sales have turned around until I see the first half sales results in 2015. Saying that I am still encouraged and I believe we should be or have an increase of somewhere between 3% to 7% with a target of 5%. I also want to mention that we have a ground breaking new marketing campaign that I mentioned on CNBC this morning. We’re kicking it off at the Grammy’s on Sunday. And on E-Entertainment channel, the preshow the Aflac Duck will be the first ever advertising icon to walk the red carpet. During the Grammy’s, a new commercial will feature the Aflac Duck but it will focus on one day pay, which highlights our new accelerated claims payments. One day pay is an industry first that allows us to process, approve, and pay in just one day, which would be about 70% of our eligible claims. Through one day pay we expect to pay more than a million claims in 2015. I hope you all get a chance to see the commercial and the campaign. I am very excited about it and I think it will set us apart in the industry thus increasing our sales. You can also go to our website and see more about it. Having covered operations let me turn to a topic on those top of mind with our shareholders and that’s capital deployment. I believe dividends are our important components of the value we provide to investors. In 2014, our capital strength enabled us to increase our cash dividend to shareholders in the fourth quarter for the 32nd consecutive year. Our objective is to grow the dividend at the rate it’s generally in line with the earnings per share growth before the impact of the yen. Additionally we believe that share repurchase should continue to be the largest component of our capital deployment. I am very pleased that in 2015 we plan to repurchase $1.3 billion of shares which exceeds the 2014 repurchase. As we’ve said for many years, when it comes to deploying capital for the benefit of our shareholders we still believe that repurchasing of our shares and growing the cash dividend are the most attractive means and those are the avenues we will continue to pursue. Let me reiterate what I said in the press release last night. I am very pleased that we ended the year with our operating earnings per share at the high end of the 2014 estimate. And although the results creates a tougher comparison when we look at 2015, our objective remains to grow 2015 operating earnings per diluted share before the currency at the 2% to 7% range. Because overall financial markets are currently very challenging and interest rates are at significantly depressed levels, it’s difficult to invest cash flows at attractive yields. Therefore we will be very disciplined in selling per sector products in Japan which will reduce cash flows to investments. I will also remind you that the progression of this year’s benefit ratios in both the United States and Japan which have seen favorable trends could also have significant impact on our results. As always we are working very hard to achieve our earnings per share objectives while also ensuring we deliver on our promise to our policy holders. Just let me in by saying how proud I am of the how hard our people in both Japan and the United States have worked to pull out such phenomenal fourth quarter results. Everyone involved has been relentless and disciplined in their pursuit of excellence. I am also pleased with Aflac’s position in Japan and the United States, the two largest insurance markets in the world. First and foremost, we are focused on protecting our policy holders and providing value to our investors. We are fortunate that in the process of doing so we have the privilege of providing financial protection to over 50 million people worldwide. Now I will turn the program back over to Robin, Robin?
Robin Y. Wilkey: Thank you Dan. We now run on a tight time frame this morning and we will have to end sharply at 10 o'clock. So in lieu of the numbers I normally give, we are going to go straight to Q&A. But please remember that we are available in the office for any specific numbers that you want to get following the call. So we will start now with our first question please. 
Operator: Alright, thank you and our first question is from Nigel Dally of Morgan Stanley. 
Nigel Dally: Right, thanks and good morning. In the U.S. clearly encouraging sales, but the one area that was somewhat weak was recruiting. So two part question, what was causing the pressures and what initiatives do you have in place to turn that around?
Teresa White: Nigel, this is Teresa White. In the U.S. we actually expected a slight decline in recruiting. As you are aware, recruiting includes the career recruit and broker recruit. So as we made changes to our model that we spoke about six months ago, we realized that what we wanted to do is focus on broker productivity, so really managing the relationship with the broker. So we are looking up the quality of that relationship versus the quantity of recruits from a broker perspective. However on the career side, we are continuing to work with our sales organization to increase the recruits in sales. But we did expect a slight decline in recruits this year in 2014. 
Nigel Dally: Great, thank you. 
Operator: Your next question is from Randy Binner of FBR Capital. Mr. Binner if you are on mute please unmute. And we will go on to Steven Schwartz, Raymond James and Associates. 
Steven Schwartz: Hey, good morning everybody. Can you hear me. 
Daniel P. Amos: Yes, we can. 
Steven Schwartz: Okay, great. Dan, I want to talk about kind of your fourth quarter 2015 thing in Japan. It looks like the fourth quarter cancer sales were driven by affiliated corporate agencies which I believe is where Japan Post is located in terms of your financial statements and I don’t think there is any particular reason for non-Japan Post affiliated corporate agencies to really have surged in the quarter. So I guess I am interested in your worries with regards to 4Q 2015, I mean I understand being conservative and all but are you indicating maybe that Japan Post is kind of one in dime like maybe Dai Ichi or the banks where they pick up the low hanging fruit and then they are pretty much done and the growth is over?
Daniel P. Amos: No, I am not. But I just want to say, the increase again [Technical Difficulty] cancer sales were broad based. There is no question that Japan Post was significant but let me just say that it is the best increase in cancer sales in our existing channel that would probably add in, I can't remember how many years. So, I will let -- Kriss want to say something. 
Kriss Cloninger: I just want to point out Steven that it is the growth rate in the fourth quarter that we are more concerned about, it is the comparison not the absolute value. Japan can comment and affirm it but I believe that the projected sales in absolute terms or similar in the fourth quarter is to what they were, would be in the previous couple of quarters. And it is just the growth rate that will decline. So I want to clarify that. Now Paul or anybody else in Japan might want to elaborate. 
Paul S. Amos: Yes, first of all I would like to say that Dan and Kriss are correct that our channeled growth was across the board. While Japan Post was significant and provided significant growth around our cancer plan, we also saw significant growth not only in the corporate affiliated agencies but also with our independent agencies as well as our associates and all channels across the board. So we feel confident that, that growth was not about a single channel but about a broader environment where the Japanese consumers saw the need for our cancer product. We believe that will continue, thus our 15% increase projected over the next three quarters. As Kriss mentioned, he is correct, sequentially the numbers will remain the same as the rate of growth that we believe will really drop off in the fourth quarter. That said it’s very difficult to tell this far out with all of the different things that we are monitoring how that’s going to go. But, the outstanding fourth quarter that happened here in Japan happened due to a consorted effort by our sales team. It capped off on incredible career for Tohru Tonoike as our President who had everyone aligned and ready to execute. And we’ve just gone through a wonderful succession here at Aflac Japan with Hiroshi Yamauchi coming on as the President. And I’d like to just let him make a quick comment before we turn it back over. 
Hiroshi Yamauchi: Good morning. I am Hiroshi Yamauchi. As you know I assumed the position of President and COO of Aflac Japan as of January 1st this year. I joined Aflac Japan in 1976 as a member of the first group of new [indiscernible]. For the first 39 years including one year in Columbus I have been advancing my career with Aflac Japan’s growth. Some of you may recall my name since I have given presentations in the Financial Alliance Briefing before. I look forward to seeing you all at the Alliance Meeting in May. Thank you. 
Steven Schwartz: Hey Paul, if I may one follow up. One day pay in Japan, is that a possibility I would think with the mis-selling stuff that’s going on in the past this could be a really big thing?
Paul S. Amos: We are acutely focused on what our customer wants here in Japan and currently we believe our payment of claims in Japan is the fastest among all of the competitors that we have here in Japan. So while we are not doing the one day pay, we do believe we are ahead of the competition in terms of claim payment and we constantly monitor what our consumers want and if we deem that is where we want to go we would consider doing it. 
Steven Schwartz: Okay, thank you guys. 
Operator: Our next question is from Randy Binner, FBR Capital.
Randy Binner : Hey, great. Good morning. I wanted to talk about the reinsurance, the retro that happened at the end of the year. Two part question; one is can you explain how the economics of that work and how that may have offset the upfront cost of the most recent reinsurance deal? And then secondly I am kind of interested in the outlook for you to do more deals and potentially more retrocessions back to -- I assume the retrocession was back to the Nebraska sub, thanks?
Daniel P. Amos: Let me start on that and Kriss may want to add something. We did execute an agreement to retrocede 50% of the second tranche. You recall that the second tranche released about 55 billion yen of FSA based reserves and that was executed on October 1st of last year. And so then we retroceded roughly half of that to actually our company that is domiciled in Columbia, South Carolina, CAIC or Aflac Group. And it effectively serves as an offset to the cost that we incurred for the reinsurance. So we’ll pick up about $8 million or about a penny a share in this year from the retrocession which will reduce the cost of the second tranche which was probably around $0.025 a share still annualized. As far as the extent to which we might do this going forward, as I indicated at the analyst meeting we conducted in Tokyo last September, we are working on a multiyear capital plan, we are building out the framework for that plan and should be able to discuss more details at the Analyst Meeting in May. But I’ll tell you we have been pleased with the reinsurance agreements we’ve executed. It’s an effective -- efficient and effective tool for us to use to release FSA based capital and we found that the retrocession is also a tool that we can use to try and minimize some of the cost of that transaction. So those are things that we’ll consider as we go forward and build out our plan. 
Kriss Cloninger: The only thing I’d add is that technically we said we retroceded, we Aflac Japan ceded a block of business to Swiss re and Swiss Re retroceded to our South Carolina company. It’s an independent risk sharing transaction, it’s a two legged transaction in Japan. Aflac Japan doesn’t have anything to do with the retrocession. It doesn’t impact their financials in anyway, they weren’t involved in the transaction at all. The retrocession transaction was arranged between Aflac Incorporated and Swiss Re with an Aflac Incorporated subsidiary. So, just to clarify the technicalities of that. 
Randy Binner: And I guess just two quick follow ups, so why the assumption or the implication there would that Japan FSA is comfortable with this and further deals? And then the other one is just any characterization you can give us on the kind of slower activity or interest you are getting from some of the global reinsurers?
Daniel P. Amos: Well, the FSA recognizes that there is no arrangement between Aflac Japan and the retrocession arrangement at all. That's solely between the assuming party from the Aflac Japan Reinsurance and Aflac Incorporated through the South Carolina subsidiary. So, the FSA recognizes Aflac Japan is not party to the retrocession, therefore they aren’t involved in it. So that's no problem. Remind me what the second part of the question was. 
Kriss Cloninger: The interest among reinsurers. 
Daniel P. Amos: Oh, well there are significant interest among reinsurers. This reinsurance is a very competitive market. There are a number of companies that took notice of the first tranche that we arranged with Swiss Re. We have had a number of calls, we have talked to some others. Swiss Re is an important partner to us but we are talking with some others just to test the market and the waters and we believe we will have relationships with multiple reinsurers as a possibility going forward.
Randy Binner: Alright, great. Thank you. 
Operator: Our next question is from Yaron Kinar, Deutsche Bank. 
Yaron Kinar: Good morning everybody. Just a couple of questions, first just looking at the sales growth momentum some are up here in growth and even the retrocession, is there any expectation now that EPS growth year-over-year will not necessarily come in at the lower end of the guidance range?
Kriss Cloninger: Well, this is Kriss. I will say that -- you have heard me say in prior years there are a lot of moving parts to our earnings estimates. And clearly we are in recognition of the fact that the historically low interest rate environment is a headwind to us both in new sales in Japan. We don’t want to sell products that don’t have appealing profit margins and at today's yen denominated interest rates it is hard to get an appealing profit margin on our first sector sale. We have been doing some alternative investment strategies to mitigate that and we will continue to pursue those alternative investment strategies for the business we do sell. But the fact of the matter is that new sales will be a drag, first sector sales will be a drag a bit. The ability to invest current cash flows at attractive investment yields is a challenge. Eric can talk to that if appropriate. And then you get to the benefit side of things. We benefited from a decline in benefit ratios for a number of years now and the way we do our earnings estimates, we take a look at where we are today. We tend not to anticipate any further improvement in a step to be conservative. We have experienced improvements and therefore we have been able to be in the mid to high end of the earnings range for the last several years. In 2015 if we continue to get improvement, it will move us towards the high-end of the range. If things stay about the same, then we will probably stay in the mid part of the range. If things deteriorate a bit, in terms of no additional improvement or some modest deterioration, things might move towards the low end of the range. But that's why we have got a range. It is just a lot of moving parts and we don’t have a lot more insight, well we don’t have total insight into that. So, that is why we give a range. 
Yaron Kinar: Okay. And then my second question is going back to the third sector of sales. So if you use kind of the guidance that was offered last night of 15% growth for the first three quarters of the year and then sounds like you’re basically expecting a similar absolute number of sales in the fourth quarter, ultimately I get to about 2% growth for the full year and third sector sales which is still at the low end of the guidance range both in 2014. So I am sorry to be -- to push on what seems like a good sales quarter at the end of the day. So I guess I am so much surprised that would Japan progress with the deal or partnership and with the new cancer product out in the market that we wouldn’t see more robust growth over the full year?
Daniel P. Amos: Of course we don’t know what the fourth quarter will be at this particular point. As I said in my numbers, I looked at it for the last -- the rolling 12 months and I think they are going to be close to 20% and the fourth quarter will give you more insight at the end of the second quarter. But at this particular time, we are still unsure anytime. We feel confident with what our existing channels will do but how we roll out and the way they roll out with Post is just too early to tell. So we’re not willing to go out at this particular point and give a number but we will at the end of the second quarter where we got more information. It’s not something we control. It is kind like Dai Ichi Life when we had them. We have to wait and see, but I would say we are still optimistic about our relationship with Japan Post because it’s been an outstanding relationship with them. And no one else has got anything like this and we are going to continue to grow it and work on it. 
Yaron Kinar: Okay, thank you. 
Operator: Our next question is from Jimmy Bhullar, JP Morgan.
Jimmy Bhullar: Hi, good morning. So I’ll just ask given the confusion on sales, so maybe if you could talk about just the ramp up in sales via the Japan Post, obviously the growth rate should slow down from the recent pace, but do you expect the absolute amount to continue to go up through 2015 and then I have couple of other questions that I’ve written down?
Paul S. Amos: This is Paul. Unfortunately we are not allowed to disclose the specifics around the sales for Japan Post or the projections for Japan Post. What I can tell you is that we are at three prong approach to our overall success within our partnership with Japan Post. Number one, we wanted to expand to the number of post offices which equaled number of 10,000 through end of last year. Beginning in October we wanted to expand selling through combo the Japan Post Insurance Company and we also wanted to make sure that we offered a new product that was exclusive to the Japan Post network. We’ve been successful in achieving all three of those and we know that we are going to continue to expand the number of post offices overtime as that is the objective of the overall relationship. And we believe the combination of the additional product for just a pay and post along with the expanded number of post offices will continue to allow us to foster growth in that relationship and access new customers that we would not have been able to access otherwise. So I am in no way pessimistic about the relationship but we cannot go into specifics around a numbers or the projections. 
Jimmy Bhullar: Sure. And then on the U.S. business, the expenses are obviously elevated in the fourth quarter. Could you discuss what the or quantify what the expenses related to the U.S. sales force restructuring were and what your expectation is for that number as you, should the expenses remain elevated as you go through 2015?
Kenneth S. Janke: Jimmy, this is Ken. In the fourth quarter we had about 26 million hit the U.S. P&L, excuse me, that’s for the full year. There is about a million in the third quarter so about 25 million in the fourth quarter. For 2015 we expect it to be around 88 million for the full year fairly evenly spread on a quarterly basis in the $21 million to $22 million range net of capitalization that would run to the U.S. segment. 
Jimmy Bhullar: Okay, that’s helpful and lastly if you could just comment on capacity and/or likelihood of additional reinsurance fields you talked a little bit in response to previous question but are you still actively pursuing additional deals, reinsurance deals…?
Kriss Cloninger : This is Kriss. I will take that. First of all let me say that these increased expenses in the U.S. are built into the projections. We had a pretty good estimate of them and they are cranked in there, so -- and they are predicated on a 5% sales increase for the year, which is our objective. Okay, that is why as far as our capacity and interest and additional reinsurance, that is going to be dictated by our capital management planning. We are taking a more comprehensive approach to doing capital management planning including identifying potential uses of capital and discussing potential sources of capital. And we don’t want to act precipitously in just doing reinsurance deals for the sake of doing reinsurance deals because we can't free up some of the additional reserves that are available in Japan. We want to have and identified appropriate use for that capital to the extent we choose to repatriate some of those proceeds from Aflac Japan to Aflac U.S. and subsequently to Aflac Incorporated. There are uses for capital other than share repurchase partly to make sure we got squared up on our tax cash flows in the U.S. and some other things like the position of the U.S. operation from a capital perspective where we have been forcing the U.S. operation to kind of pay the shareholder dividends for some time. And there is a modest imbalance if you just looked at U.S. only versus Japan that we are trying remediate. It is not a source of concern among ourselves or among the regulators. But it is something we are trying to do some advanced planning on. And there are certainly potential other uses for capital. So, we are trying to do a more comprehensive program and we will have more to comment on, mostly likely at FAB in terms of the progress we are making in that regard. But I just want to emphasize we are not going to do reinsurance for the sake of doing reinsurance because we can. We have to have a disciplined approach about this and that's what I am trying to do and put in place. 
Paul S. Amos: And just one follow-up to that too, let me mention our FSA based earnings clearly benefited from the reinsurance transaction we had secured in October of last year. As we commented on the third quarter, that influenced our thoughts as we formulated our objectives, earnings objectives and capital deployment plans for 2015. So we are looking right now at an amount that we would repatriate of somewhere around 150 billion to 170 billion yen. This year 50 billion yen of which we already received in December and that puts us in a good position in terms of executing on the capital deployment objectives we have for this year which is increasing the cash dividend and buying back $1.3 billion of our shares. So that is why -- that in conjunction with our comments Kriss has made and what we talked about last September, we are really thinking of longer term plan. 
Jimmy Bhullar: Okay, that is helpful. Thank you. 
Operator: Our next question is from Eric Berg, RBC. 
Eric Berg: Thanks very much and good morning. Dan, from looking at your early history in Japan, Aflac was heavily if not exclusively I believe a cancer insurer. Then during your tenure the company has diversified really quite a bit and for many years you had a broad line of products between cancer and medical riders that mentions long term care and so forth annuities. But now it seems we are back to cancer only or at least that is what it seems in the December quarter. I think it was the only product that showed that sales increased with the other showing declines, what is your take on sort of what the next couple of years will bring in terms of new business production. Will Aflac be a one product company or will there be breadth to the sales?
Daniel P. Amos: Well, the one thing that it has been rather consistent is whatever the new product is that is ultimately where the sales go. And the new product for 2014 was cancer insurance. I do believe we have a distinct advantage in Japan when it comes to cancer insurance over any other product we’ve got. It’s what started our company, it’s what all consumers view as us being dominant in the market. And so from that standpoint, I think we’ve learned that cancer insurance is still very important. But I think medical will be important and I think as we introduce the new medical product, we will be -- we’re still number one in that and so I think it will just vary. Let me ask Paul of Aflac Japan if they’d like to make any comments. 
Paul S. Amos: Yes, remember we launched our new medical product toward the end of 2013. So the comparison for medical sales in conjunction with the strong emphasis we had on launching of our new cancer plan certainly put the emphasis on third sector products on the cancer plan itself for that particular quarter. The other comment I’d like to make is really about the discipline that we’re holding in first sector because of the record low interest rates we’re seeing today and the profit margins that have already been mentioned around certain products. We are certainly restraining the total number and total volume of first sector sales given the current conditions. Given the large volume of exclusive agencies we have at Aflac, we are certainly going to continue some presence within selling first sector products. But in terms of broadly going after the first sector in the current environment, we are restraining those sales and looking to see a fairly significant decline in first sector sales in 2015 if these trends continue. I will be closely monitoring just as we did in the fourth quarter and will be monitoring our sales. If conditions changed for the better we’ll move in that direction, if condition stay the same or worsen, we would react accordingly. But we have measures in place to affect our sales based on the type of business we want to be selling in Aflac.
Kriss Cloninger: But I will also and let me add some to that, this is Kriss again. We are making some modest investments to protect all of our distribution relationships. All of our distribution relationships are important to us particularly the bank channel where there are limitations on what we are going to sell in the first sector. But we are making accommodations in selling a certain amount of business in order to protect those relationships for the longer term. 
Eric Berg: I have one follow up question then I’ll be done for the U.S. team. In the U.S. it seems that there has been a stabilization, a stabilizing in the number of productive agents number of monthly average producers. Maybe the U.S. team could address where they see that headed because it seems to be at the end of the day what matters is not how many people you recruiting, not how many people you are losing indeed not how many people you have but how many productive people you have. So I am focused on that productive number and I’d like to know where its headed? 
Teresa L. White: This is Teresa White again. We’re absolutely headed, we’re continued to recruit but we also are wanting to make sure that we have productive recruits. So we see growth in that number, our goal is to grow that number in 2015. We are also looking to grow the number of what we call district sales coordinators and those are the field trainers, those are the people who assist those recruits and ensure that they increase their productivity. So short answer to that, you are absolutely correct, the goal is to continue to increase the average weekly producer number. 
Eric Berg: Thanks to everyone. 
Robin Y. Wilkey: Thank you Eric.
Operator: Our next question comes from Thomas Gallagher of Credit Suisse.
Thomas Gallagher: Good morning. My question is on the new product and given that it is more than cancer WAYS product and then similar product that’s being sold exclusively to the Post. I guess last time we saw a sales surge to this level where that product is now almost 50% of sales in the quarter there were some issues with margin in the future. So I just want to get a better handle on your level of comfort around the margin in the product and in particular I recall you are highlighting some of the cash accumulation features within the product and I might not have that exactly right but it sounded to me like this was a bit of a hybrid product. So I want to know is there an interest rate component that we should be mindful of but if you could just address that question in general?
Kriss Cloninger: Tom, this is Kriss. The cancer product that’s created the surge in sales as an annual premium long duration product, not that as sensitive to interest rates. I think at the FAB meetings I’ve shown that third sectors products are relatively insensitive in terms of profitability to levels of lifetime net investment yields associated with the cash flows, associated with that product. We do bills from reserves. The old blocks have some cash to render values and long duration benefits that we are selling the cash value rider this time out. But it’s not that sensitive. And we have diminished some of the long duration benefits that tend to bill reserves a lot. So the cancer product is not nearly as inter sensitive as a first sector product and in fact I don’t absolutely know it but I think its profitable at zero percent interest. So that would tell us something there. Let me see what else did I want to say. 
Daniel P. Amos: About WAYS?
Kriss Cloninger: Yes. 
Daniel P. Amos: That’s what he was telling now. 
Kriss Cloninger: Well WAYS was where we had the surge previously and clearly that was inter sensitive both in terms of it being limited pay. We got most of the funds up in the short term and the intra spread made a lot of difference in the profitability over the long-term. So this was near that plus we don’t have things like discounted advance premium where we have to invest at today’s rate. And basically the third sector products Tom, the claims pay out more quickly over the term of the contract. They payout periodically during the term of the contract as opposed to all at the end of the contract. So basically the new third sector products, the cancer products aren’t nearly as inter sensitive as the first sector products because of the surge in 2011 and 2012 going into 2013.
Thomas Gallagher: That’s helpful Kriss, thanks. And just my follow up is just given what looks to me like is a fairly radical product mix shift that we’re seeing between first sector significantly falling off, the cancer really ramping up here, why shouldn’t we see a reversal and an improvement in margins going forward here, because I know we had the opposite happening when WAYS had become a much bigger part of the hole here. But now that we are likely to see a real shift in the other direction, is there -- should we be thinking over the next several years that we’re going to see any kind of meaningful lift in profit margin?
Daniel P. Amos: Well you’ll see a lift in profit margin but it will be more gradual than the first sector of business impact because a lot of the cash flows associated with the first sector business came in at the front end of the product and closer just most of the premiums were paid within a 5 to 10 year period. Whereas these health products, the cancer products premiums were paid over the life of the business. So the impact on premium income and the recognition of profit, well the recognition of profit will be over the life of the policy as it was in the first sector of business. But the revenues will come in over a slower period of time and more gradual period of time. But we should see a kind of a diminishment, we will see the impact of the first sector premiums on the margins tend to diminish as the level of first sector volume declines. 
Thomas Gallagher: Okay, that’s helpful. I guess just so I am clear on this, is it -- if you look out over the next two, three, four years just given the mix shift here, would you expect margins to go up or is there still a bit of a drag from the first sector and it is less clear at this point given where interest rates are?
Daniel P. Amos: I don’t expect margins to rebound immediately Tom but I think there will be gradual trend of increasing margins. The first sector business, that was about on a per policy basis 10 times the premium of a third sector policy. So there is a major, major impact on the mix shift of revenues associated with that surge in first sector of business. This is a big surge in third sector business by itself but we’re still volume wise going to write, I don’t know, the exact number but say around 70 billion of premium on third sector business right now. And we were right in the like 120 billion or something like that in first sector in those prime years. So it is just not quite. On a policy basis we’re writing a lot more policies than we did on first sector but the premium on the first sector was so much more that I think it will be more gradual impact Tom. I’ll tell you what, we’re going to have the updated projections and the like if the FAB meeting in May and I’ll be able to update those forecast we give you on margins by product category first sector and third sector as well as an estimate of the impact on the aggregate margin for the next three years, we will be updating math. 
Robin Y. Wilkey: And this is Robin. I would add that if you look at the presentation from the FAB meeting Aflac Japan outlook by product category, the total overall profit margin that we’re seeing for 2015 is going to be right in the middle of what we projected. So the projection was 19% to 22% and for 2015 we’re seeing 20.3%. So I wanted to make that clear. Also when you look at the day stay, the number of days per hospital stay in Japan we’re continuing to see that decline which has been helping our benefit ratio also. 
Thomas Gallagher: Okay, thanks guys. 
Operator: And the next question is from Ryan Krueger of KBW.
Ryan Krueger: Hey, thanks good morning. I was hoping you could talk a little bit about how you’re thinking about investment allocation in Japan between JGBs and U.S. dollar corporate in 2015?
Eric M. Kirsch: Sure, hi. It’s Eric, Ryan. Prior to all this volatility as we do our budgets and planning and consistent with the SAA work that we completed, it would have been about 25% to 75% ratio. Though I should also say, as we think about the U.S. dollar allocation it’s not necessarily confined to U.S. corporate anymore. We certainly have widened the scope but we do call it dollar assets. However as you know we are being very tactical, rates have dropped particularly in Japan because in the U.S. while treasuries have fallen we have seen some credit spread widening that somewhat offset that. So the absolute yield levels hadn’t really dropped that much in the U.S. But in light of these very low yields as you know on the 10 year hit about 23 or 24 since popped up, the 10 year JGB has popped up to about 38. At these low yields we would be inclined to underrate that allocation to JGBs. Meaning, to buy a 20 or 30 year maturity JGB which is typically where we focus at an average of perhaps of 1% or so, we’d rather underweight that allocation this year at those low yields and put that money to use whether in dollar assets and traditional fixed income or perhaps we do expect this year to get going with some of the growth assets that I had spoken about. So we’re going to monitor that closely. As you guys know, the global macro conditions are changing drastically. We’re cognizant of that but at those low levels for JGBs we would underweight our allocation relative to the original budget. The other thing I might mention as well and as we continue to evolve in our transformation we are being tactical on our asset allocation. So as an example because we have seen this dislocation in the credit markets going back to about November, December we firmly believe there is good fundamental credits that are still very strong in the U.S. So one of the things that we did late December and we’re completing soon is what we call a billion dollar asset allocation or switch trade. So we have moved out about a billion dollars of our investment grade corporate that we own, and reallocated that about half to bank loans. We think that sector has gotten hit from tacticals, not necessarily from credit quality and liquidity from the retail market. But given our long term nature we can take advantage of that. And the other half of that into double dip credits in the high yield sector but the higher quality part of high yield where we think on a relative value basis that’s a good long-term place to put our money. So, we are not only focused on the new money that’s coming in and Kriss has talked about. There will be less cash flows this year that’s associated with how we view the product side, but we’re also looking internal to our portfolio. What else can we do amongst our own assets to rotate, to take advantage of this and everyone’s heard me say we are in a great position around our capital levels. As you all know we’ve cleaned up the past in terms of the portfolio. So we are positioned for when there are disruptions in the market, if there are asset classes and strategies that fit our SAA we will seek to try to take advantage of those. And of course all of those things I’ve just mentioned are always within the risk limits. We have risk limits around all of these asset classes, around different credit quality and duration, and we’ve had capacity because we weren’t de-risking the portfolio over the last few years, so now is the time for us when these disruptions occur to take advantage of those risk limits and average into the markets. 
Ryan Krueger: Thanks, that’s very helpful. One follow up on that. In the fourth quarter you have blended in money in Japan was 2.47%. Certainly things have -- rates have come down since then, can you just give us some sense of I guess given where we are today in the current environment what type of new money rate you think you can get in Japan at this point. 
Eric M. Kirsch: For the blended portfolio, so that would basically look at not only whatever JGB assets we would buy but the dollar type allocation. If we based it based on sort of the initial percentages by plan, it would probably be something in the 2% area. If we underrate those JGBs then that number would go higher. So it will depend on how we invest and of course it will depend on where the yields are when we do invest that money and I don’t need to tell everybody those yields are continuing to be volatile. 
Ryan Krueger: Okay, great. Thank you. 
Operator: Alright, and the next question is from Erik Bass, Citigroup. 
Erik Bass: Hi, thank you. I guess other than the sales improving, are there things that you’re seeing in the U.S. business that may not be as clear to us but that give you confidence with the changes you made are having the desired impact and that momentum should build in 2015?
Daniel P. Amos: Well I am optimistic. I felt good about the third quarter, I felt good about the fourth quarter. I think what Mike Tomlinson, our new Director of Sales is doing, is working I think what Teresa is doing and her involvement with sales in terms of managing the people has been good. I am just overall very pleased. I think Dan Lebish and what he’s done with Aflac Group has been good. So it all seems to be working but one thing I will say about this new structure is it pays for performance. So there are going to be some very good bonuses in the fourth quarter. If they don’t perform well they all go make a lot less in 2005. So I’ve always said put the money where you want it and the people will flow that way. I was in sales for 10 years. So I know that to be true, so I am cautiously optimistic but I want to wait until the end of the second quarter before I am willing to declare victory on what’s going on. Because frankly we were going against a pretty easy quarter. The fourth quarter was an easy comparison for us, so we should have done well. Now we did better than I even thought. But still it was an easy quarter. Our easiest quarter in 2015 will be the second quarter. First quarter is a little harder because we had some carry over business in 2013 so, we’ll just have to see. But I am still very encouraged that we’ll make that number and I am really not satisfied with that. I really won't higher our numbers and I think especially with this one day pay it just opens the door for us because there is nobody in the industry that’s going to be able to process, approve, and pay in one day. And that’s what is important. It is at the time of claim that people need their money the fastest and we’re going to give it in their hands and yes, there will be some we can’t because of like short-term disability but the accident, the cancer all of the main product lines we sell we’re going to be able to give it to them. And I just think it’s going to set us apart and so I am optimistic but I still at the same time want to be cautious because I am sales man at heart. So I want to be careful here. 
Erik Bass: Got it, thank you, that’s helpful. And then just one follow up on the U.S., can you talk about the sales breakdown in the fourth quarter between individual and group products. 
Teresa L. White: Well what we look at really is the distribution of the product breakdown and so in the fourth quarter what we saw was really increase in sales on the broker side. We saw as far as the breakdown, about a 69% from career, 31% from broker is the breakdown. But what I really kind of want you to look at from our perspective is really the channel and we look at the channel from the perspective of the career channel being focused on the less than 100 market and the broker channel and the broker sales executives basically selling to and servicing the large case brokers. Now when you look at the product set, the products are looking more like 87% of our business is traditional, 13% is group. And we of course think of that’s going to continue to grow. 
Erik Bass: Got it and how does that 13% of group sales compare to what it was in the fourth quarter of 2013?
Teresa L. White: Fourth quarter of 2013, well around 10%. So we have seen a modest growth in the group sales. But one of the things, the reason I look at it from a career distribution versus broker distribution is because even in our broker -- with our brokers, 63% of what they sell is the individual product. So the larger case brokers are the ones that are selling more of the group products but the more regional and local brokers are still selling the individual product. So you really can’t get a good feel when you’re looking at it group versus individual are the traditional products. [Technical Difficulty]
Erik Bass: Got it, that’s helpful. Thank you. 
Operator: [Technical Difficulty].
Unidentified Analyst : Allocations within the existing portfolio is there a point which you take a really hard look at the available for sale portfolio within Japan and start to sell some JGBs and reallocate given where yields are. I know obviously you have generated some significant capital gains but might you not be happy to pay those taxes to get a lower allocation at JGBs particularly given the downgrade in December to a single WAY level?
Daniel P. Amos: Sure and thank you for that question and please be assured we look at all sorts of modeling of our portfolio and opportunities from yen to dollars. There could be a day when we preferred dollars to yen and we take a look the credit quality issue and your point, the JGBs we own we will be looking at in the single A category instead of the double A category given the Moody’s downgrade. But having said that keep in mind we are balancing a number of factors. So, for example, when we look at the JGBs they do provide us with yen interest rate protection versus our liabilities because the liabilities are all in yen. So that’s a very important factor and we look at the SAA, our JGB allocation is what I would call at the lower end of the range. It could be a lot higher if we wanted even better matching characteristics where the privates help with that as well because they are yen denominated. So we will take a look at that but I don’t think there is an infinite amount of capacity to say JGB is down by 10% of the total portfolio and reallocate. There may be some opportunities around the edges. And then finally just for clarification, most of our JGBs are in either HGM or what we call PRM, policy reserve matching. We have very affluent AFS but even within PRM there are some opportunities to do asset allocation and rotate. I just wanted to clarify the accounting designation.
Unidentified Analyst : Yes, no that is why I was focused on the AFS. And then I guess maybe it is a question or comment and maybe to both, if I look at your overall U.S. sales in 2014, they are only about 7% or 8% below your all time high which I believe was 2007. You know now I recognize that competition has grown and probably the market opportunity has grown since 2007 as well. So, you have lost ground but isn’t it possible that you are back within the next year or two to essentially all time at least in absolute dollar terms production levels at highest?
Daniel P. Amos: Teresa and I both, 8.9 is the number. That is what we have to do to beat the all time record. 
Unidentified Analyst : I knew you would know it. 
Daniel P. Amos: Yes, I know it. What I have told them is if we want to beat records, that's what we are after. Teresa and I both know the number by heart and we are keeping it in front of them constantly. And the sooner the better, but that's a strange call that I am keeping back there. But as I said, 5 is the number. 
Unidentified Analyst : Understood, okay, thank you very much. 
Kriss Cloninger: It is Kriss, I just wanted to tell you that Dan and Teresa's motto this year is no whining. No whining. 
Unidentified Analyst : I guess and maybe keeping that in mind I will make this last comment for you before the call ends, the more you want to create difficult sales comparisons for yourselves, the more I am on board. 
Daniel P. Amos: We are all for that. 
Unidentified Analyst : Thank you. 
Daniel P. Amos: Go to our website and checkout one day pay. 
Robin Y. Wilkey: Alright guys and ladies thank you so much for joining us. If you want to follow up with any calls we will be in the office and we thank you so much for joining us today. Bye, bye. 
Operator: Thank you. This completes today's conference. You may disconnect at this time.